Operator: Good evening, and welcome to the Texas Roadhouse Fourth Quarter Earnings Conference Call. Today’s call is being recorded. All participants are now in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to introduce Michael Bailen, Head of Investor Relations for Texas Roadhouse. You may begin your conference.
Michael Bailen: Thank you, Rob, and good evening. By now, you should have access to our earnings release for the fourth quarter ended December 26, 2023. It may also be found on our website at texasroadhouse.com in the Investors section. I would like to remind everyone that part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer all of you to our earnings release and our recent filings with the SEC. These documents provide a more detailed discussion of the relevant factors that could cause actual results to differ materially from those forward-looking statements. In addition, we may refer to non-GAAP measures. If applicable, reconciliations of the non-GAAP measures to the GAAP information can be found in our earnings release. On the call with me today is Jerry Morgan, Chief Executive Officer of Texas Roadhouse; and Chris Monroe, our Chief Financial Officer. Following the prepared remarks, we will be available to answer your questions. In order to accommodate everyone that would like to ask a question, we kindly ask analysts to please limit yourself to one question. Now I would like to turn the call over to Jerry.
Jerry Morgan: Thanks, Michael, and good evening, everyone. 2023 was another great year for Texas Roadhouse. We generated over $4.6 billion in revenue and increased average unit volumes to over 7.6 million at Texas Roadhouse. And for the full year, comp sales grew over 10%, with more than half of that increase coming from higher guest traffic. Along with this top line growth, we also reported double-digit increases in restaurant margin dollars, income from operations and earnings per share for full year 2023. Our results clearly reflect the commitment our managing partners have in taking care of their guests and their communities. There are no better examples of this passion than our Veterans Day celebration and our national fundraiser to benefit tinnitus research. On Veterans Day, we honored nearly 700,000 veterans by providing a free meal or voucher for a future meal. And just over a week ago, we raised over $925,000 for the American Tinnitus Association, in honor of our late founder, Kent Taylor. These are just two of the many ways our operators give back to their local communities. 2023 was a record year for system-wide new store openings. For the full year, we opened 30 company restaurants across all brands. And our franchise partners opened 15 restaurants, including our first two franchised Jaggers. For 2024, we continue to expect to open approximately 30 company-owned restaurants across the three brands. Our expectation is that this year’s openings will be more evenly distributed throughout the year as compared to last year, when 50% of our openings occurred in the last four months. Additionally, we expect our franchise partners will open as many as 14 international and domestic locations, including four Jaggers. In 2024, we will also maintain our emphasis on operational efficiencies and improving the guest and employee experience by focusing on technology investments. Based on positive feedback from our operators, we’re accelerating the number of digital kitchen conversions to be completed this year. We now expect to convert approximately 200 existing Texas Roadhouses to a digital kitchen in 2024. And we have also standardized this equipment for new openings at all three brands. We are also focused on increasing guest awareness of our digital platform, which is the most efficient way for our guests to put their names on the waitlist, to dine in our restaurants and to place their to-go orders. In closing, we are extremely excited about the direction of our business and our three brands. There are so many things to be proud of, but at the same time, we still have many opportunities to continue building our business going forward. Now Chris will provide some thoughts.
Chris Monroe: Thanks, Jerry. 2023 was certainly an impressive year. Our restaurants are the busiest they’ve ever been, but our operators are focused on serving even more guests on every shift. Of course, we expect to continue to face inflationary pressures in 2024, albeit at a lower rate than we have experienced the last several years. Cattle supply will continue to be a challenge in 2024. However, we now expect the majority of the financial impact of this tightening supply to be in the back half of 2024. As such, we are updating our full year 2024 commodity inflation guidance to approximately 5%, from between 5% and 6%. On the labor side, our guidance for wage and other labor inflation remains unchanged at between 4% and 5%. To help offset the impact of inflationary pressures, we will be implementing a 2.2% menu price increase at the beginning of our second quarter. As we typically do, we partnered with our operators to determine the appropriate amount of pricing for each of our restaurants. This process includes looking at traffic trends, state-mandated wage increases and local labor trends as well as comparing our prices to those of other restaurants in their specific community. This level of detail and operator involvement provides us with the confidence that we are taking the right level of pricing without sacrificing our value proposition. As Jerry mentioned, we opened 30 company-owned restaurants in 2023, which included 22 Texas Roadhouses, five Bubba’s 33s and three Jaggers. While sales volumes at new Texas Roadhouse restaurants increased, so did the average investment cost in 2023. Part of this was the inflationary pressure on building costs that the industry faced in 2023. But it was also due to our strategic investment in building a larger prototype to be able to serve even more guests. The addition of dedicated to-go areas and more back-of-house space needed to serve higher guest volumes has increased the size of the current prototype by approximately 10% from our pre-COVID prototype. Returns on investment for our portfolio of new restaurants continue to exceed both our cost of capital and our targeted mid-teen IRR. Before we fully shift our attention to 2024, it’s important to recognize the financial accomplishments we had in 2023. We ended the year with $104 million in cash and generated $565 million of cash flow from operations. With this cash flow, we self-funded $347 million of capital expenditures as well as the $39 million acquisition of eight franchise restaurants. We also returned over $147 million to our shareholders in the form of dividends, completed $50 million of share repurchases and repaid the final $50 million of bank debt that we borrowed at the onset of COVID. In 2024 and beyond, we will continue to make meaningful capital investments in existing restaurants as well as new restaurant development. At this time, our capital expenditure guidance for 2024 remains unchanged at between $340 million and $350 million. As always, investments will be evaluated to ensure we continue to put our capital to work where we create the greatest shareholder value. Overall, our shareholders were rewarded in fiscal year 2023, with EPS growth of 14.3% and a dividend yield of 2.1%. This total return of 16.4% is consistent with our average return over the past 10 years. With a disciplined approach to capital allocation and the excellent results, we expect our operators to continue generating, we are confident that we can continue to reward our investors with strong returns for years to come. And now Michael will walk us through the quarter results and provide additional 2024 guidance.
Michael Bailen: Thanks, Chris. For the fourth quarter of 2023, we reported revenue growth of 15.3%, driven by a 9.3% increase in average unit volume and 6.1% store week growth. We also reported a restaurant margin dollar increase of 21.4% to $177 million, and a diluted earnings per share increase of 21.3% to $1.08. Average weekly sales in the fourth quarter were over $141,000, with to-go representing approximately $18,000 or 12.6% of these total weekly sales. At this time, to-go has already become, on average, a $1 billion business per restaurant, with additional room for growth. Comparable sales increased 9.9% in the fourth quarter, driven by 5.1% traffic growth and a 4.8% increase in average check. By month, comparable sales grew 9.2% in both October and November and 11.1% in December. And while weather has negatively impacted our year-to-date 2024 sales, comparable sales are still up 6.8%, including 3% traffic growth for the first 50 days of the year, with our restaurants averaging sales of approximately $155,000 per week during that time frame. In the fourth quarter, restaurant margin dollars per store week increased to over $21,600. And restaurant margin as a percentage of total sales increased 75 basis points year-over-year to 15.3%. Food and beverage costs as a percentage of total sales were 34.2% for the fourth quarter, the 88 basis point year-over-year improvement was driven by the benefit of a 4.8% check increase, offsetting the 3.2% commodity inflation for the quarter. Commodity inflation for full year 2023 was 5.6%, which was the midpoint of our guidance. Labor as a percentage of total sales decreased 28 basis points to 33.1% as compared to the fourth quarter of 2022. Labor dollars per store week increased 7.9% due to wage and other labor inflation of 5.5% and growth in hours of 2.4%. For the full year, wage and other labor inflation came in at 6.6%, which was the midpoint of our 2023 guidance. As Chris mentioned, we continue to expect wage and other labor inflation of between 4% and 5% in 2024. Included within this guidance is approximately $3 million of additional labor expense in the second half of 2024, from enhancements to our equity compensation program, including a moving from quarterly to annual grants. Other operating costs were 15.8% of sales which was 49 basis points higher than the fourth quarter of 2022. Included in the year-over-year change is in an approximately 40 basis point negative impact from adjustments to our quarterly reserve for general liability insurance. These adjustments include $3.7 million of additional expense this year and a $0.9 million credit last year. Moving below restaurant margin, G&A dollars grew 23.3% year-over-year and came in at 4.3% of revenue for the fourth quarter. The primary driver of the year-over-year increase was higher cash and equity compensation. For 2024, the equity grant enhancement will also add approximately $3.5 million of G&A expense in the second half of the year. Our effective tax rate for the quarter was 10.9%. Our full year 2023 income tax rate of 12.5% was below our guidance due to a lower than anticipated state tax rate. And we are updating our expectation for the full year 2024 income tax rate to approximately 14%. Finally, as we reminded everyone last quarter, 2024 is a 53-week year for us. As such, the fourth quarter will have 14 weeks versus our normal 13 weeks. We estimate that the additional week could benefit full year 2024 earnings per share growth by approximately 4%. Now, I will turn the call back over to Jerry for final comments.
Jerry Morgan: Thanks, Michael. There’s no question 2023 was another legendary year for Texas Roadhouse and we are looking forward to building on our momentum into 2024. As always, we will be focused on driving sales, controlling costs, taking care of our people and maximizing shareholder value. We are also looking forward to our upcoming Managing Partner Conference in Austin, Texas, where we will be celebrating all of our amazing partners. Additionally, we will be naming our Annual Managing Partner of the Year for Texas Roadhouse and our second ever Bubba’s 33 Managing Partner of the Year. I’m very proud of our accomplishments and even more excited for our future. It’s a great time to be a roadie at Texas Roadhouse. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jeffrey Bernstein with Barclays. Your line is open.
Jeffrey Bernstein: Great. Thank you very much. I had two questions. The first one just thinking about the 2024 restaurant margins, it’s pretty impressive. You nailed the cost outlook in 2023 in terms of the ranges you provided for COGS and labor. If you were to do the same in 2024, and obviously you gave us the inflation guidance you expect at this point. But if you came in within those ranges, can you talk about the potential restaurant margin expansion outcomes or maybe the range of outcomes you could see or what you think would be the greatest unknowns in terms of that restaurant margin? And then I had one follow-up.
Michael Bailen: Yes. Hi, Jeff, it’s Michael. Thanks for the question. There’s a couple things that you may need to determine on your own, and that really relates to the top line growth, how much traffic you want to assume, what pricing we may take in the fourth quarter. But assuming modest traffic growth, modest additional pricing, and kind of hitting the mid-point of our range, I do think you have opportunity to see restaurant margin expansion. And really the other operating is probably the biggest area for that expansion. You may also get some labor, you probably would get some expansion earlier in the year, and then some of those enhancements that we’ve talked about may flatten that out. And then your commodities were probably with the stair step up in the commodity inflation, you’re going to see leverage earlier in the year. And again, that’s just with the guidance that we’ve given how it probably would play out.
Jeffrey Bernstein: Understood. So it sounds like both labor and commodities could be more favorable in the first half, less so in the back half.
Michael Bailen: Yes. So I would agree with that as far as how we contemplate the inflation playing out.
Jeffrey Bernstein: Got you. And then just to clarify, on the comp strength through the fourth quarter, pretty stable in October, November, accelerated nicely in December. Is there any change in consumer behavior you’re seeing, whether traffic or mix shift, how the consumer is spending even going into the first 50 days of this year? I’m just wondering whether you get the sense there’s any change in behavior with obviously a lot of people anticipating a potential slowdown or whatnot. But I’m just wondering what you’re seeing across your portfolio of brands in terms of consumer spending patterns and behavior. Thank you.
Michael Bailen: Hey Jeff, it’s Michael again. I’d say we are very excited about what we’re seeing at all of our brands. The consumer behavior does not seem to have changed in the fourth quarter or really changed much in the first 50 days of the year. A lot of that can be seen by the traffic growth that we put up. I mean we continue to see some negative mix in the alcohol category. I think that’s more of an industry behavior than anything directly related to Texas Roadhouse. But other than that, I think we continue to see guests trading into us from fast casual or other casual diners. Some of those are probably going more towards the value side of our menu, the 6-ounce sirloin and the other lower priced items. And maybe they’re getting a soft beverage instead of an alcoholic beverage. But we feel very happy with the consumer right now.
Jeffrey Bernstein: Fantastic. Thank you very much.
Operator: Your next question comes from the line of Peter Saleh from BTIG. Your line is open.
Peter Saleh: Great. Thanks for taking the question. I didn’t want to come back to the conversation around the commodities, you reduced your outlook, or at least inflation outlook just slightly. I assume you guys are mostly contracted on the first half of the year, so you got some good visibility. Can you just elaborate a little bit on really what you’re seeing there and what really caused you to kind of take that down, albeit modestly?
Michael Bailen: Yes. Hey, Peter, it’s Michael. It really had to do with. You’re right. The first half of the year, what we were seeing in the first quarter, and some of the expectation of what will continue the next several months. And we do then think that tightening really starts to have a bigger financial impact on the industry in the back half of the year. So the change was largely because of the beef outlook in the earlier months. You are correct. We have a certainly in the first quarter a good amount of our beef and our commodities locked. It becomes a smaller percent as we move further out for competitive reasons, probably not going to get into much more detail as to what percent locked. But again, our beef experts are picking and choosing their moments as to when to lock in and when it’s better to be on a formula basis.
Chris Monroe: And Peter, this is Chris. I’ll just add to, I talked last quarter about the other part of our basket is helping to offset the beef inflation that’s continuing. So we’re certainly seeing that. But everything Michael just told you about our situation with beef is continuing.
Peter Saleh: Great. Thank you. And then just on the CapEx, I know, $340 million to $350 million, I recognize that is obviously much higher than it was several years ago. Can you just help us out in terms of what’s really changed over the past couple of years? I know you said your – the restaurants are a little bit larger, so that’s adding some more to the expense. Are you also doing any bump outs this year or any other renovations that we should be aware of that are kind of driving that number that high?
Michael Bailen: Yes. Hey, Peter, it’s Michael. I mean we certainly will be doing bump outs like we have done in past years and other remodels. Those higher numbers really are reflection of the inflation that equipment and labor has seen to get work done over the last several years. Coupled with we’re now an older base of restaurants than we were before and we’re busier than we’ve ever been. So we have equipment that needs to be replaced and getting work done, whether that be building a new restaurant or bumping out an existing restaurant costs more than it did in the past. So that’s really what has driven those costs higher.
Chris Monroe: Yes. And the only thing I would add to that, again, it’s Chris. The only thing I would add to that is our investment in some technology, like Jerry was talking about, the 200 restaurants we’re going to put digital kitchen in. So that’ll add as well. But those are all investments we feel really good about paying off in the future.
Peter Saleh: Thank you very much.
Operator: Your next question comes from the line of David Tarantino from Baird. Your line is open.
David Tarantino: Hi, good afternoon. A couple of questions about the pricing philosophy and the margin outlook. So I guess, first, with the price increase you’re planning in March, it does look like the total pricing that you’re taking this year is going to be pretty closely matched up with inflation. And I think in the past the philosophy has been to perhaps under price versus inflation. So do I have that right? And then if so, is this a change in your philosophy on how you’re managing margins going forward.
Michael Bailen: Start.
Jerry Morgan: Well, I think we have always taken a conservative approach and how we look at it throughout the country and maintaining value in our menu. So when we gather with our operators and really talk over about mandated wage increases and different things that will affect their business, we still want to have a competitive mindset as we go into keeping our value built into our menu and making sure that we’re also keeping value for our consumer in place. Michael can talk to a little bit on the numbers from that.
Michael Bailen: Yes. I think, David, what I would mention is it definitely is not a change in our philosophy. We’ve always said we want to be pricing for the structural component of inflation, which is largely wage inflation. But that doesn’t mean that we’re always pricing for all of it as soon as we’re feeling it. So some of the pricing that we are taking now is to offset wage pressures that we have felt over the last several years as we continue to manage that labor line, both through productivity efforts. But the reality of the higher wage rates that we’re paying, so definitely not a change in philosophy. Still going from a bottom up approach of talking to each operator and making sure they are absolutely in alignment with what we’re doing.
David Tarantino: Great. That’s a helpful explanation. And then on the commodity outlook, stepping up in the second half, does that sort of give us some visibility into next year and that maybe the beef costs or whatever commodity costs are accelerating? I assume its beef. You could have a carryover impact from that as you look into next year. I just want to understand how to think about that.
Michael Bailen: Hey, David, it’s Michael. I would say it’s a little early for us to give you any thoughts on what this could mean for 2025, but the industry reports out there obviously are calling for tighter supply into 2024, and as of yet, not hearing much relief coming in the future, but a little early for us to be able to give you any true thoughts about 2025.
David Tarantino: Great. Thank you.
Operator: Your next question comes from the line of Dennis Geiger from UBS. Your line is open.
Dennis Geiger: Great. Appreciate it. Wondering if you could talk a little bit more to sort of thinking about the labor situation as it relates to labor relative to traffic for 2024. Does that look more like the historical relationship? Might you look better than the historical relationship? Maybe if you could just kind of touch on what that looks like and perhaps how digital kitchens and tech more broadly may be able to help out from that perspective.
Chris Monroe: Hey Dennis, it’s Chris. Yes, I’ll start. I mean I think we were really encouraged in the fourth quarter. Our labor hours grew less than 50% of traffic growth, and that was – it’s been – that’s been difficult to achieve since the pandemic. And so there’s a focus by our operators on that line item and the fact that we have employees staying with us. Our turnover is at or better than it was pre-COVID, and all of those things provide some encouragement on that particular line item. But again, to have achieved it in the fourth quarter, we’re projecting that we can do it again in the first quarter. And so I think all that’s very positive.
Jerry Morgan: And I’ll speak to the digital kitchen, Mr. Jerry, we’ve open – we can – all of our new stores open with the digital kitchen this year, we converted 20. We’ve really been talking strategically about how to get the whole roadhouse concept on that digital kitchen format, because of the many benefits that we see not only for the commotion in the kitchen itself, but even the ability to track our cook times and so many features that we believe will enhance our experience for our employees in the back of the house. And it’ll impact in a positive manner the cook times for our front of the house table turn. So the digital kitchen is a huge commitment. The feedback from our operators has been incredible, and the demand and desire is there. So we just – the number is a pretty big number for us, but we’ve got a great game plan, and I think strategically, we’re going to execute at a high level to do that. All of Jaggers and Bubba’s already on the digital kitchen format.
Dennis Geiger: Great. Thanks, guys, and congrats again on the results.
Jerry Morgan: Thank you so much.
Operator: Your next question comes from the line of Sara Senatore from Bank of America. Your line is open.
Sara Senatore: Great. Thank you. Two clarifications. The first is on the labor point, you made the point that you grow hours less than traffic. I guess, I was under the impression that maybe as we think about fiscal 2023, you were kind of getting to full staffing over the course of the year across most of the restaurants. So while your wage inflation maybe was highest in the first half, maybe your hours were not. And so I was just curious if there is sort of an opportunity in the second half of this year to maybe have more labor leverage from that perspective, even if wage inflation is perhaps more moderate and whether the technology may also contribute to that. So that was the first clarification, just sort of the staffing approach through 2023.
Michael Bailen: Yes. Hey, Sara, it’s Michael. Yes, I do think what Chris talked about that, those labor hours growing at less than traffic is something that could certainly continue into Q2 and into Q3 and into the fourth quarter as well. Our operators are focused on that productivity. People are staying around longer. So that is certainly an expectation or something that we are going to be working on all year long, getting that better productivity on the labor hours.
Sara Senatore: Great. Okay. Thank you. And then the question was about, your mix has been very consistent, very just modestly negative, even though, we seem to be keep hearing that the industry is getting more focused on value. So are you seeing anything that would suggest that your relative value proposition is that gap is narrowing or people are making different decisions just because it doesn’t appear to be showing up in your comps at all, but curious on your thoughts on that?
Jerry Morgan: Yes. I think just like, to your point, it’s not showing up glaringly for us either. I think our value has always been built into the menu, and the consumer feels very good about our offerings. And from that standpoint, whether it be our steak or our chicken or all of our offerings are country dinners. So we feel very good about where we’re placed, but we don’t see anything to indicate that there’s a lot of movement within that menu pricing.
Sara Senatore: Thank you.
Jerry Morgan: Thank you.
Operator: Your next question comes from the line of David Palmer from Evercore ISI. Your line is open.
David Palmer: Thank you. And amazing quarter-to-date comps, really amazing.
Jerry Morgan: Thank you so much.
David Palmer: I wanted to ask you about KDS, you just commented a little bit about some of the things that it does for you. And the good news, I guess, is that you’re not – you don’t have to be pioneers on KDS and you’ve seen it in some of your brands already. Can you maybe give us a sense of what it can do to the metrics that the Wall Street nerds would be following, comps, margins, things like that? Maybe even this is something that will help you on that labor leverage, where you might be able to add less hours because of table turns and you make the shift work better. I don’t know. But is there any metrics that you could share what it does for you?
Jerry Morgan: Well, David, thanks for – I think that – it’s Jerry. I – the benefit for us is really about the efficiency of the overall kitchen. And the way that the digital kitchen organizes through the screens versus through the tickets creates a lot less chaos, I guess, you could say. There’s no doubt we can track our cook times. There’s some real positives from that side of it, as we’ve already seen. And again, we’re only 40 or 50 in, but we are very committed. Every indicator that we have. And Michael will talk to your Wall Street nerd thing, but I will just talk to you as a kitchen guy. What I see in those kitchens is communication, a consistency. It just organize it, so people don’t stress out when you got a whole bunch of tickets in front of you and all of that. And we can clearly monitor how long our cook times are. So that will be a big win for us going forward. And then I think Michael has a couple of comments.
Michael Bailen: Yes. Thanks, Jerry. Yes, I do think, again, that Comer kitchen does lead to a happier roadie, who has been less likely to seek other employment. So maybe your turnover improves because of that, and you’re keeping that efficient, productive employee for longer. But as far as what it may do to the front of the house, I think we have found that the digital kitchen does time the food out a little bit better. So maybe those salads get out as an appetizer to the guests a little bit quicker, and the entrees are getting out there a little bit quicker. So you couple that benefit with our roadhouse pay, our pay at the table system, which is speeding up the check and change portion of the dining experience. And then maybe at the guest discretion, you have shortened the table turn time, which allows you to quote a shorter wait time to that next guest. So by the end of the night, maybe somebody who was previously being told they could be sat at 8:30 is now being told 8:10 or 8:15, and that may make all the difference in their willingness to stay and us getting another table turn in the restaurant.
David Palmer: And is this something that you’ll ramp the deployment of? I know, you wait for it to be pulled, but I would imagine at this point that it’s being pulled heavily. I mean, how fast can you roll these out? Can this be done by the end of 2025, for example? Any sense of that?
Jerry Morgan: Well, I think we’re going to try to get through this year and see how these 200 go, and then obviously, the intention is to get the whole concept done. I think it might take a little longer than that, but we want to do it strategically and we want to execute at a high level for our partners. So we’ll be as fast as we possibly can, because we’re committed to it and believe in it. But I don’t want to put a date on it yet.
David Palmer: Thank you very much.
Jerry Morgan: Thank you.
Operator: Your next question comes from a line of Jeff Farmer from Gordon Haskett. Your line is open.
Jeff Farmer: Thank you. Just some quick modeling follow-ups. Assuming the 2.2% menu pricing takes place in March, what would Q1 and Q2 menu pricing be?
Michael Bailen: Sure. Hey, Jeff, it’s Michael. And again, that pricing will go into effect our first day of our second quarter. So for the first quarter, you won’t get any benefit from it, but we’ll have between 4.8% and 4.9% pricing in Q1, and we’ll have basically the same thing in Q2 and Q3 about 4.8% to 4.9% for both those quarters. And obviously, if we didn’t do anything in the back half of the year, in the fourth quarter, we would only have the 2.2% in Q4. But we’ll reevaluate what’s appropriate as we get later into the year of what we may want to add on to that.
Jeff Farmer: Thank you. And then now, weather impact on the quarter-to-date, same store sales in the Q1. Did you share that?
Chris Monroe: Yes. That’s – this is Chris, Jeff. January, we had – we talked about that in the prepared remarks, but January had two really tough weeks, and it impacted the guest counts by about 2.5%. And so if you take that, extrapolate it into the first 50 days, we were down about 1%. So the 3% growth that Michael shared with you, if you take that weather out would have been 4%. So there was a lot to be proud of in those first 50 days. And our operators, they slogged through those two very difficult weeks and took care of the customers that were able to show up and serve them well. But it was a great first 50 days in spite of those two weeks.
Jeff Farmer: It was, definitely. And just last one for me. Q4 check I think you shared was 4.8%, but just some quick breakdown of pricing and mix for the Q4.
Chris Monroe: Jeff, we had 5.5% pricing in Q4, so therefore we had about 70 basis points of negative mix, giving us that checkup, 4.8%.
Jeff Farmer: All right, thank you. Pass it on.
Operator: Your next question comes from the line of Lauren Silberman from Deutsche Bank. Your line is open.
Lauren Silberman: Hi. Thanks and congrats on the results. I wanted to ask first, just on the other OpEx, it’s been growing pretty steadily. Even if you exclude some of the one-time items that you’ve talked about. Can you just help us understand how to think about OpEx growth or on the other OpEx side, in 2024?
Michael Bailen: Yes. Hey, Lauren, it’s Michael. Thanks for the question. You are right that those, even though we did been getting some leverage overall on that line, the underlying pressure has remained. And there are a lot of inflationary items in there, a lot of services in there, but your repair and maintenance cost is a big one on top of the general liability insurance costs, even absent some of the reserve adjustments we’ve had. So moving into 2024, I do think that on a dollars per store week, you will continue to see an increase, but it should not be at the rate that we have seen. You probably start a little bit higher in Q1, but mid-single-digit growth in those dollars per store week and then maybe coming down a little bit from that as you move through the year. That’s obviously without knowing what other kinds of reserve adjustments we may have or not have. But with what we know right now, that would be my expectation.
Lauren Silberman: Great. Very helpful. On this could go side, you saw sales per week accelerate, it looks like, throughout the year in terms of growth. Can you just provide a little bit more color on what you’re seeing on that to-go side and why you’ve seen, I guess, positive growth at least over the last three quarters now?
Jerry Morgan: Yes, I’ll start off. I just really believe that it’s our ability to execute full dining rooms and continue to keep the level of service through our to-go experience. So I think as our operators have gotten used to that volume at the high level that we are at, it has allowed us to continue to take more orders and be more available to our guests.
Chris Monroe: Yes, this is Chris. I’ll just add on. I mean, and I know you watch us every quarter, but you saw that, sort of spiked during the pandemic, then it began to come down over time, and now it is kind of coming back up again. So this is just to Jerry’s point, our folks know how to execute it, and it’s definitely a popular thing for our guests. So we’re looking forward to continuing to see that do well over time.
Lauren Silberman: Great. And just last one from me. Can you just clarify? And I appreciate the color and all the quarter-to-date, what you’re running in terms of comp as the weather passed, just to clarify.
Michael Bailen: Sure. Lauren, it’s Michael. So within that 50 days, I guess, I can tell you our January comp was 4.2%. And then the last three weeks plus a day was a little over 10%.
Lauren Silberman: Appreciate all the color.
Operator: Your next question comes from the line of Andy Barish from Jefferies. Your line is open.
Andy Barish: Hey, guys, most of my stuff has been asked. Could you quantify in the 4Q sort of the holiday benefit of the Christmas shift. And then the Lenten season is upon us and started a week earlier for 1Q. Any commentary around that for the rest of the quarter or is it kind of minor?
Jerry Morgan: Hey, Andy. How are you doing, bud? Listen, the first quarter, obviously, we just had Valentine’s Day yesterday, which gives us a great indication that we’re off and running strong and solid. So that’s hard to – all the other things that you asked about, I do know we have some promotional stuff going on at Jaggers. But I think right now, without the weather, the momentum is very solid into the first quarter.
Michael Bailen: And, Andy, it’s Michael. I don’t know if I have any numbers at my fingertips regarding the benefits around the holidays. But we definitely saw some benefit in that timeframe. But I’m not going to be able to put a number on that right now. But again, the numbers we’ve been putting up go beyond just a couple of days with a calendar shift. We’ve saw strain for quite a while.
Andy Barish: Understood. And then just circling back on the CapEx with the 200 digital kitchen conversions coming in, but total CapEx staying the same. What’s the offset there? Were there some idiosyncratic things that kind of hit last year? Or how should we think about that staying flat, although clearly spending some more capital on the KDS.
Michael Bailen: Yes. Andy, without getting too much into the details, it’s fair to say that our initial estimate that we put out there gave us some room – some wiggle room for other projects and things to come in there. And the acceleration of the digital kitchens filled some of that space. So again, we left ourselves some room for that. So it was not that we did this and had to replace it with – take something else out.
Chris Monroe: Yes, I’ll just – Andy, it’s Chris, I’ll just add into that. It’s about $45,000 a store to put the KDS in. And so you’re talking about roughly $9 million. And on that big of a budget, we can find a way to get it in there.
Andy Barish: Great. Appreciate the detail. Thank you.
Jerry Morgan: Thank you.
Operator: Your next question comes from the line of Chris O’Cull from Stifel. Your line is open.
Chris O’Cull: Hey, thanks. Good afternoon, guys. Jerry, are you seeing any signs that are growing that a number of your restaurants may be getting closer to capacity during peak hours? I’m just wondering if you’re seeing a need for additional bump outs or maybe any other approach that could increase sales headroom.
Jerry Morgan: Yes. Chris, thanks for the – I think the bump outs, and we’re doing cooler expansions, which really – that’s part of what the costs are, is giving these folks that are really serving a lot of guests is really more storage in the back to be able to get more food in their building. The upside to even at our elevated average unit volume at over 7.5 million, we’ve got a large group of restaurants that are doing significantly more than that. And so, as I’ve said in the past, they’re the ones leading the way that show us that even our average unit volumes can increase year-after-year if we continue to execute and do the things that our operators need to be able to get more people through their building. And there’s definitely a demand there. We just got to continue to execute more people, more product and we’ll be just fine.
Michael Bailen: And Chris, this is Michael. I just want to add on to what Jerry said, which I think is quite impressive. Those highest volume restaurants, the ones that are above average or well above average, continue to comp at or – at least at the average, if not better than average that certainly happened throughout 2023. So we haven’t seen those busiest restaurants come up against a wall as far as growth. So that gives us quite a bit of confidence for even the room that our average stores have for future growth.
Chris O’Cull: That’s impressive. And then can you provide some additional color around what unit economics you’re targeting at Jaggers? And then maybe how many development commitments that you have right now for Jaggers?
Chris Monroe: Yes, go ahead, Michael.
Michael Bailen: Yes, Chris, it’s Michael again. I would say it’s a little early for us to get into specifics on returns. Clearly we have a couple franchisees already who have opened stores and will be opening more stores. So I don’t want to put words in their mouth, but I would say they are pleased with what they are seeing. And there are continued conversations with future partners as well. So not going to get into returns, either on the company side or the franchise side, but we are very pleased with what we are seeing and what we believe Jaggers can do going forward.
Chris O’Cull: Great. Thanks, guys.
Jerry Morgan: Thank you.
Michael Bailen: Thanks, Chris.
Operator: Your next question comes from the line of Andrew Strelzik from BMO. Your line is open.
Andrew Strelzik: Hey, good afternoon. Thanks for taking the questions. I was hoping you could start maybe by giving some color on Bubba’s. I know you’ve done a lot of work on the brand over the last two years or so. So where are you seeing progress or other areas that need more work opportunities? Thoughts around where Bubba’s is today would be great.
Jerry Morgan: Yeah. Thank you, Andrew. I feel really good about Bubba’s. We’ve put a lot of investment in the last couple of years, not only on the people – getting the right people, the leaders, the support all the way around it. We’ve done some – what I think are really solid structural parts of the building to keep the cost down, and we see our sales growing. So all of the indicators are that people are loving the food with the burgers and the pizzas and the energy that we have with our rock ‘n’ roll. But I think the biggest thing is about having leadership, having consistency and ability to execute, and people identifying who Bubba’s 33 is. So all indicators are very positive and we’re very happy with the continued progress that Bubba’s is making.
Andrew Strelzik: That’s great to hear. And then just following up on some of the commodity inflation or food inflation outlook, you noted the kind of more modest increases in the first half of the year and then a step up in the back half. Can you be a little more specific kind of either front half, back half or by quarter kind of how you’re expecting that to progress?
Michael Bailen: Yes. Andrew, it’s Michael. I’d say Q1 is definitely kind of our expectation to be at the low point where maybe you’re in the 2% to 3% inflation range, and then it grows from there. And I don’t know necessarily, I have – that the Q2, three and four that dramatically different than each other. It is a stair step up, certainly from probably Q2 into the back half, but that Q1 is really the one that stands out as being a little bit lower.
Andrew Strelzik: Okay. And maybe if I could just squeeze one more in, a question on buybacks and your appetite there. You noted paying off the last bit of the debt there. And I know the CapEx is going to be up, but I’m just curious, your appetite for share repurchases at this point for 2024. Thanks.
Chris Monroe: Yes, Andrew, it’s Chris. Look, our operating cash flow and our balance sheet are major advantages for us. And so we are going to continue to take this balanced approach over the long haul like we have. And you saw the increase to the dividend that our Board approved with Jerry, and that we’re happy to have that out there. And we’ll look at share repurchases, obviously, the first place we go is to think about bringing in the dilution. But as we have opportunities to continue to invest, we’ll look at that first. But then if there is cash left over, we’re going to be looking at continuing the share repurchase program.
Andrew Strelzik: Great. Thank you very much.
Operator: Your next question comes from the line of Gregory Francfort from Guggenheim Securities. Your line is open.
Gregory Francfort: Hey, thanks for the question. I had two quick ones. The first is just I know you answered the question on capacity earlier, but I’m curious your appetite to maybe accelerate unit growth beyond the kind of 5% to 6% range. I mean, you guys are running really healthy traffic, and I’m wondering what would it take to maybe expand that pace of unit growth a little bit?
Jerry Morgan: Well, thank you. It’s important for us to keep a cadence of how many openings that we can do a year and be balanced in our approach, and we have to do it right. We have to get every store opened with incredible energy. It takes a lot of folks inside, so we like our number of what we’re doing for Roadhouse and the other two brands. So you’ll probably see us stay very close to that. If we get an opportunity to increase a couple here and there, we might take that opportunity. But I don’t think we’re going to change our overall strategic goal or game plan on growth.
Gregory Francfort: Got it. And then just may – I may have missed it earlier, but any thoughts on where the turnover environment looks like or the quit rates or what that might be doing to your training and ability to train workers? Any thoughts on the labor market that would be helpful?
Jerry Morgan: Yes. Thank you. We feel really good. We put a lot of work into it in the last couple of years, and we look at it three levels, our managing partners, our managers and our Roadies. And all three of those indicators are that turnover is coming down, which also means that we’re getting more reps and running these shifts at a higher volume, so all of those indicators are pretty solid. There are folks, applicant flow has been pretty solid for us. So from that standpoint, the work and the effort that we put in has really benefited. And I think we’re creating an environment where our employees want to work and be a part of something that’s really special. So I believe it’s a very positive environment out there and we are benefit. The longer our folks can stay around and we keep Roadi nation happy, they’re going to keep taking care of us.
Michael Bailen: Winners win.
Jerry Morgan: Yes.
Gregory Francfort: Thank you, guys.
Operator: Your next question comes from the line of Brian Vaccaro from Raymond James. Your line is open.
Brian Vaccaro: Hi. Thanks and good evening. Just circling back on the topic of table turns and Roadi pay, et cetera, and I guess tying it into comps a little bit. Obviously, your comps have been impressive for a long time now. But I’m curious, as you dig into your comps a little bit, are you seeing outsized growth or even maybe a little bit of an acceleration in peak demand periods that you might be able to tie back to table turns? Or more broadly, are there any other day part or regional differences in your recent trends that might be worth highlighting?
Michael Bailen: Yes. Hey, Brian, it’s Michael. Good to hear from you. Some of that is a little difficult to parse out, but I can tell you geographically, we are seeing similar results across the country. By age of our restaurants, we’re seeing similar results. And then as far as the day part, we are seeing a little bit more strength earlier in the day and into the power, what we call the power hours, that 6 to 8’clock time frame. So whether that’s coming from the technology investments, hard to tell you. But we’re certainly doing everything we can to give that guest a good experience, give them the opportunity to get in and get out at their pace, and I think that’s what we’ll continue to focus on going forward.
Brian Vaccaro: All right. That’s helpful. Thank you.
Operator: Your next question comes from the line of Brian Harbour from Morgan Stanley. Your line is open.
Brian Harbour: Yes, thanks. Maybe just one from me, Michael or Chris, what – do you have any view on kind of G&A this year, either in growth terms or percent of sales, as you think about leverage there?
Michael Bailen: Hey, Brian, it’s Michael. Yes, G&A as a growth company, we’re going to continue to invest in our people, in our systems. I think our philosophy remains the same, that we would like to see those G&A dollars grow at less than revenue growth and continue to see if we can get some leverage there. But we were at 4.3% of revenue in 2023. That’s come down significantly from where we are. So we’ll see what happens in 2024. I can tell you that you probably would see in Q1, I think we have the most opportunity to not see a lot of increase, but then after that you will start to see some increase. Again, being a 53-week year, you could see us having the need to accrue for additional bonus compensation. And again, you would then lap that into 2025. And we talked a little bit, a bit about some of the equity compensation enhancements that we’ve made and that’ll impact the second half of the year. So I think you’ll continue to see those G&A dollars grow and maybe it’s not a year where we get a lot of leverage. Some of that will depend upon what the top line ends up doing. But yes, definitely investments to be made in the business.
Brian Harbour: Thank you.
Operator: Your next question comes from the line of Jim Sanderson from Northcoast Research. Your line is open.
Jim Sanderson: Hey, thanks for the question and congratulations on a great quarter. I wanted to go back to the mix issue. It seems to me that’s improving, not as negative as it has been. Do you expect that to pretty much iron itself out, so to speak? And is there an opportunity to actually see that become an upsell opportunity to make that positive as we go into the back half of the year?
Michael Bailen: Hey Jim, it’s Michael. I mean, you are correct. Q4 with the 70 basis points was a little bit less than what we had been seeing the last couple of quarters. There were a few things in there that benefited us in the fourth quarter around the holiday time. You see maybe an increase in bread sales and the such that can offset some other areas. It’ll be something we’ll be watching here into 2024 of whether that trend continues. Entrees again if we continue to see people trading into us and growing our traffic. But maybe they’re hitting the value side. You could have a little bit of negative mix there and that alcohol is a little bit of a question mark, I’ll be honest with you. Will that flatten out or just kind of the societal trends right now of. I think a little bit less alcohol sales may stay with us. That’s just one we’ll have to wait and see what happens on.
Jim Sanderson: Okay, so probably a little bit of a headwind going forward, just not as bad. Is that the right way to look at it?
Michael Bailen: It’s a hard one to fully answer, but I think in the economic – consumer environment we’re in, it would not surprise me for it to be a little bit of a headwind. But again, it’s one that until you really see what’s going on, it’s hard to fully predict.
Jim Sanderson: All right, understood. Thank you.
Operator: Your next question comes from the line of Rahul Krotthapalli from JPMorgan. Your line is open.
Rahul Krotthapalli: Thanks for taking my question, guys. I just wanted to follow up and expand a bit more on Bubba’s. Can you discuss the store margin growth year-on-year and help us get some confidence in the longer-term store margin profiles for this concept? Is there a potential for this to be at or above Roadhouse? Can we expect an inflection at some point, or are there any structural costs like prime cost for this concept lower versus Roadhouse as we go forward? And I have a follow-up.
Michael Bailen: Hey, this is Michael. I can answer some of that, but I’m probably not going to give you all the information that you’re maybe looking for. I can tell you we feel very good that Bubba’s can generate those mid-teen returns that we’re looking for. We believe Bubba’s can generate a very strong restaurant margin. Your point of can they be in line with Roadhouse if they was doing similar sales volumes? Yes, absolutely, that is possible. But the reality is Roadhouse performs at a higher level than Bubba’s and a higher level than most restaurant concepts. So that is going to benefit Roadhouse from a margin perspective. But the menu items that we have at Bubba’s would lend itself to a very strong margin as compared to Roadhouse on similar volumes. I think that’s about as far as we’re probably going to go on that one right now.
Rahul Krotthapalli: That’s helpful, Mike. Thanks for that. And on the follow-up, I know you guys talked about having a total 900 store [indiscernible] for the company as a whole. And I think like Roadhouse was targeted at 700 to 800 over time. I know you guys discussed a lot of new like digital kitchens, like new store formats and whatnot. I’m just curious if there is an updated thought on this number and how you are looking at this going down the line?
Jerry Morgan: Yes, thank you. We believe that’s a great target for us. We adjusted that, I believe, just a little over a year ago after a lot of research and just thinking about our business going forward. So there’s no adjustment to that number. Now, we’re still focused on being responsible to all of our partners out there, but we believe we can get to that number.
Rahul Krotthapalli: Perfect. Thanks, guys.
Jerry Morgan: Thank you.
Operator: Your next question comes from a line of Jon Tower from Citigroup. Your line is open.
Jon Tower: Great. Thanks for taking and hanging in there. Just real quick, first, on the G&A side, the grant changes that you’re talking about in the second half of 2024. I’m assuming those are not one time in nature and something that will carry forward into 2025. So just wanted to first confirm that.
Michael Bailen: On the – hey, it’s Michael. On the G&A side, those are a little bit more one time in nature, it’s really an acceleration of the grant. So we will still be expensing grants that we’ve been given quarterly over the last several years, and we’ll now be pulling up and granting all at one time some grants that would have been happening over the next several quarters. So we’ll feel that one time in Q3, Q4, and then some into the beginning of next year. The majority of it will then not have an impact on us after that.
Jon Tower: How about the labor line that you had mentioned earlier as well?
Michael Bailen: The labor line is more of – is not as much one time in nature. While you do have that acceleration going on, the other enhancements of us increasing the amount of grants to some store level employees is part of it, but also including additional manager levels in the granting of equity compensation. So that is one that will stay with us going forward.
Jon Tower: Great, thanks. And then, just curious, your business has obviously got very strong demand from a traffic standpoint, and I know you’ve had some success earlier in terms of expanding some of the early dine options during the weekdays. I think since COVID added about an extra hour or so to that during the weekdays, if I’m not mistaken. So, curious, do you feel like there’s more opportunity, perhaps extend that further? I think it’s mostly 3:00 p.m. to 6:00 now. Could you push it further to 2:30 or 2:00 or is that just something that kind of not contemplated today to meet that demand?
Jerry Morgan: Yes. Thanks, Jon. I think it really is open to a 5:30 or 6:00. So if they open at 2:30, 2:45, but most of the stores are opening at 3:00 so as soon as they open, that early dine kicks in. I think that’s where we’ll stay for now. I don’t see us getting any earlier than that, but might be a few out there.
Jon Tower: Great. Thanks for the time.
Jerry Morgan: Thank you.
Operator: Your next question comes from a line of Jake Bartlett from Truist Securities. Your line is open.
Jake Bartlett: Great. Thanks for taking the question. Mine is about development. And first, maybe a clarification. You said today that you expect to open or you continue to expect to open 30 company-owned stores across three brands. My reading of the last earnings call is that it was 30 with Texas Roadhouse and Bubba’s, but then three Jaggers. But just to confirm, is there any change in the company-owned development outlook in 2024?
Jerry Morgan: Jake, I don’t think there’s any change at this time. We’re definitely after the massive amount of openings we had in the last four months of 2024. We are trying to strategically spread that out a little bit. But as of right now, we are focused on that number between the three.
Michael Bailen: Yes, and I would just – Jake, this is Michael. It does say approximately 30, so we just put all of those into there. The Jaggers timing, whether we get three open, we will see. And those could be later in the year, but we just felt it was cleaner to give you all that number all in one.
Jake Bartlett: Got it. And you also mentioned that you expect the cadence to be more balanced over the year. Maybe if you can dig into that a little bit, maybe comments on the development environment, the headwinds we’ve been hearing about and seeing for three or four years now. Are you starting to see signs that that’s easing and that’s what gives you more confidence in a kind of evenly spaced development in 2024?
Chris Monroe: Yes. Jake, it’s Chris. I think we are seeing that smoothing out a little bit. And Jerry oversees our development team himself, and so that’s something he may want to speak to. But I will say that a lot of the jurisdictional issues, the permitting issues, things that you’ve been hearing from us and others are largely behind us. There are still occasional problems in the supply chain, but for the most part, we’re getting work done, although at a higher cost. And so that’s definitely seems to be with us as we go. But we do feel good about the way that we’ve got this. We’re calling this cadence that we’ve built, and we feel very good about that as it’s flowing through. I don’t know if you have anything you wanted to add, Jerry?
Jerry Morgan: Yes, thanks, Chris. Just a matter of a lot of work been put into this timeline and building in the – that what the times that it takes to get all of these set up and then we can make the decision. So I think there’s been a lot of work and effort. It’s looking really good right now for 2024 and 2025, and we really want to keep that cadence going forward. It takes a lot of pressure off of our crew to get the most of the openings in the first three quarters versus jamming everything into the fourth quarter. So we’ve been working really hard on that and we’re going to try to keep that cadence going forward.
Jake Bartlett: Great. And then last little kind of nitpicky modeling question. If I look back at the extra operating week in 2019, the fourth quarter of 2019, it was about a 60 basis points benefit to restaurant margins. Is that where we’re getting the 4% impact for the year when math we could tell you 2% for an extra week. But is that about right, 60 basis points boost in the restaurant margins. And that’s really where the outsized earnings from that week comes from.
Michael Bailen: Hey, Jake, it’s Michael. I don’t have the numbers right in front of me for this call, but certainly you are getting margin expansion as part of the reason why you’re getting 4% – an estimated 4% benefit for approximately 2% increase in store week. So that’s probably as much as I can give you on that. Some of the benefit does come outside of restaurant margin as well, but there is a benefit – there surely is a benefit in there from that high volume extra week.
Jake Bartlett: Great. I appreciate it. Thank you.
Operator: This concludes our question-and-answer session for today. I would like to turn the call back to Jerry Morgan.
Jerry Morgan: Thank you and all for being on our call tonight. And to Roadie Nation, YeeHaw [ph] to an incredible year. Thank you each and every one of you. Let’s go.
Operator: This concludes today’s conference call. Thank you for attending. You may now disconnect.